Dagmar Steinert: [Abrupt Start] benefits from the aftermarket sector. We have positive currency effects in Australia, but they are offset by negative effects from Asia. Looking at the EBIT, the region Asia-Pacific doubled their EBIT. They report €34 million for the first quarter '21. Turning to the region Americas, Page #11. You can see the sales of our previous year's level. We have an organic growth of 6% in Americas. And the first quarter 2020 was, as well as the region EMEA, not affected by COVID-19. The external growth of €8 million or 7% is due to the acquisitions in the previous year 2020. Due to the strong euro, we have negative currency effects, as already mentioned, and they amount to minus 12% in the first quarter '21. On the earnings side, EBIT is up 33% to €16 million for the first quarter. On the next chart, on Chart #12, we want to give you an overview about what happens on the raw material price hikes. We have seen significant price increases from the beginning of the year in January, February and March. And one or the other of base oils nearly almost doubled prices. And yes, it's something which we haven't seen in that impact ever before. We will see negative impact on our margins in the second and third quarter. And of course, on our selling price, as we pass through raw material price increases with a bit of a time lag due to our contracts, we expect, of course, higher sales due to price increases.  With that, I would like to turn to Page #13 to our outlook for the full year. Based on the development of sales and earnings in the first quarter, the stronger-than-expected recovery of the global economy and significant higher raw material prices, we raised our outlook. Sales, we expect to come in, in a corridor between €2.7 billion to €2.8 billion. This, as said before, is based on the strong demand and price increases from our side. On the EBIT, we expect to come in for the full year in a corridor between €330 million and €340 million.  As we see higher raw material prices and supply chain disruption, we will have a negative effect on our cost side and our margin. On the other hand, of course, with some higher sales that's why increased our EBIT -- our outlook. The FUCHS Value Added will increase slightly. And on the free cash flow before acquisitions, you see a reduction of around €50 million. And that's due to the increased business and, of course, where we see, due to the purchasing price increases and our selling price increases, that we see the need of a higher level of net operating working capital.  Coming to the next chart, #14, we just would like to remind you that we have a different development regarding our first half year and our second half year. So in the first half year '21, we compare ourselves with a weak first half 2020, which was impacted by COVID-19 in the first quarter in Asia-Pacific mainly and the second quarter in Americas and EMEA, and where we see in the second half year, a recovery with a record quarter in the fourth quarter 2020 and we will have definitely a weaker second and third quarter. And compared with previous year, we expect the second half of the year '21 to come in below previous year.  With that short presentation, we would like now to turn to Q&A, and I'm happy to answer your questions.
Lutz Ackermann: So operator, please take over for the moderation of the Q&A session.
Operator: [Operator Instructions]. And the first question received is from Martin Roediger of Kepler Cheuvreux.
Martin Roediger: I have three questions, and I would like to ask them one-by-one. So I would like to start with the first one. This is on raw materials, and especially on Page 12 of your handout. Can you rank the upcoming margin squeeze in the second quarter by region? I mean, would it be fair to assume the biggest margin squeeze in Q2 will be in Asia and in Americas because the increase in raw material price charts is stronger year-to-date than in Europe? And in this context, would it then be also logic that once the production issues, for example, in Texas are solved that these are the regions where you should expect the quickest easing in raw material prices later in this year?
Dagmar Steinert: Yes. Thank you, Mr. Roediger, for your questions. It's a bit like looking into a crystal ball how the raw material price increases develop further. We want to give you some details, some insights with the Chart #12 you refer on. And yes, you're right, you see different development of raw material price increases. But of course, we have a different product mix within this region and different margin. And of course, due to the product mix, you need different raw materials. And overall, we -- it's more or less somehow, let me say, balanced or levered out as we pass through our price increases we save on a local basis.  That means if there's a region with a higher raw material price increase, therefore, to increase their selling prices to a higher level. And therefore, I don't see there much such a difference. Regarding the disruption of the supply chain, there might be differences. Of course, that depends how refineries manage their turnarounds and how long time it takes and then, of course, where you get the supply you need. And regarding our price round of -- as we increase our selling prices, we already, of course, did it, but we will see effects in the second quarter.
Martin Roediger: My second question is on the organic sales growth of 15% in the first quarter. And I understood that you have raised some selling prices in March already for the -- for your small clients, which do not have price variation clauses. So maybe you can help us to understand how much pricing contributed to the 15% organic sales growth. Was it 1% or 2% or even higher?
Dagmar Steinert: Well, I would say it's not significant what the increase of our selling prices is reflected in the first quarter because most of our price increases are effective in April, in May, some in March, yes. But then of course, it's a question at what time did the customer order. And even if there is a price increase starting in March, the order might be days before. And then of course, even if it's a sale in March, it might be with old prices. So the pricing effect overall in the first quarter is minor.
Martin Roediger: Okay. And my final -- the third question is on the reconciliation line in the regional performance. In the past, you complained about the issue that your German automotive OEM clients did not give you approval for the Pentosin products produced in China. This was the reason why you still had to export the Pentosin products from Germany to China, which has been reflected in this reconciliation line. And in your introductory remarks, you mentioned obviously this was still the case in Q1. Now what I wonder is with this current super high demand in China, and I guess it cannot get better, when will you get approval by your customers in China for local production of Pentosin?
Dagmar Steinert: I don't know. We work on it. But it's again looking into a crystal ball, is it '21? Or is it '22? I've got no idea. It's a bit more difficult regarding to the pandemic.
Operator: The next question received is from Markus Mayer of Baader-Helvea.
Markus Mayer: I have also three questions. I will also ask them one-by-one as Martin did. The first one is again on the demand. We've heard from other companies, in particular from private ones, so far it's only anecdotal evidence, but we have heard that there was double sourcing, in particular automotive customers. Have you also experienced this? And in addition to this, there also was the rumor that there was prebuying due to the significant price increases, which are effective for the second quarter -- in the second quarter, which is you are also basically flat. Would you also see that there was a kind of a prebuying? That would be my first question.
Dagmar Steinert: Well, we have a strong demand. We have very strong demand in the first quarter and the fourth quarter last year. And there might be one or the other like prebuying or advanced purchasing in it, of course. But regarding our OEM customers, as we have there usually price -- contracts with price variation clauses. And there, we pass through raw material price increases with a time lag of 3 to 6 months. So in quite some parts of our business, we will see there a significant margin increase in the second and third quarter as the price increase with this contract is coming into force on a later stage in September and August. So they have no reasoning to do some prebuying or advance purchasing.
Markus Mayer: Okay. Understood. And second question would be again on the demand there. Maybe you can shed some light where if there was a stronger demand in automotive or industry applications. I guess, it was more automotive-driven. Is this industry demand -- if this is the case, do you think that this industry demand is just lagging and will then accelerate in the second or third quarter? Or is there something structural in it?
Dagmar Steinert: Well, when we look at the fourth quarter of the last year, that was mainly driven by demand in automotive lubricants. And in the first quarter, we've seen a pickup of industry demand as well. So both is strong, automotive and industrial lubricant demand. There is no lag anymore.
Markus Mayer: Okay. Understood. Okay. And then the last question would be on the CapEx saving in 2021. Maybe you can help us how the guided CapEx spending will be spent then over the year.
Dagmar Steinert: Well, we expect for the full year around €80 million CapEx on level of depreciation. And in the first quarter, we spent only €15 million, €20 million would have been a quarter. So from today's point of view, I expect the €80 million. And there won't be a quarter where we will have half of the amount. It will be spread out over the next quarter.
Operator: The next question received is from Sam Perry of Crédit Suisse.
Samuel Perry: Just on raw materials, thanks for the chart. Can you remind us what proportion of your raw materials are base oils? So I was thinking it was only around 50% or slightly less. And what -- with the remainder of additives, what sort of inflation are you seeing in those products? And then also, with the guidance, what is your assumption regarding raw materials from here? So do you assume they stay flat at Q2 exit rates? Or is your assumption that they increase further from here?
Dagmar Steinert: Well, looking at the proportion of base oil from our raw materials, of course, on a volume basis, it's higher. If you look at the value, it's 30%, 40% of our raw materials. But of course, it depends on the product or product mix as well. And looking at the price development of additives and packages, that's with the time lag as well as we usually have with our biggest suppliers as well contracts with price variation clauses. And therefore, we still benefit from lower price -- or not lower prices but from prices with no significant price increases. They will come to a later stage.
Samuel Perry: Sorry. So just to be clear, for the remaining 70% -- or 60% to 70% in terms of value of raw materials, you're seeing limited cost inflation?
Dagmar Steinert: Yes. It will come later because of the time lag.
Samuel Perry: And where do you expect raw materials to go from here for the remainder of the year?
Dagmar Steinert: I can't give you a number for that by now. And for us, it's always the balance between our selling prices and the raw material prices. So it's our challenge to increase our prices as much as we needed.
Operator: The next question received is from Oliver Schwarz of Warburg Research.
Oliver Schwarz: There's only one remaining. When looking into the different regions, is there currently a variety or a huge variety in the taxes you have to pay? Or is that mostly similar to what we see in the group level?
Dagmar Steinert: Yes. Ultimately, as well, the tax level, there is no significant differences, more or less similar to the group level on an average as it is, yes. There are no big exceptions.
Operator: And the next question is from Eleanor Seddon of UBS.
Eleanor Seddon: Congrats on the quarter. And yes, first question for me is just whether you could talk a little bit about the run rate out of the first quarter into the second quarter. So the top line trends that you've described in your results, were those accelerating through Q1? Are there any of that you're seeing continue to accelerate or any that you think might decelerate through the rest of the year?
Dagmar Steinert: Well, of course, we don't know how the crisis develops. If you look, for instance, to India, would have a major impact of the crisis. On the other hand, China and America increased their expectations for GDP growth and Germany as well. So the start into the second quarter on the demand side is still good.
Eleanor Seddon: Okay. Great. Actually, one more, if I could squeeze one in. Do you have any visibility on rough impact from the cold spell in America you've mentioned for the Americas business? And any comment on the underlying business ex that impact?
Lutz Ackermann: We didn't get the question, sorry. Maybe you can repeat it again.
Eleanor Seddon: Yes, of course. So in the North Americas business, there's clearly an impact from the cold spell that, that region experienced. Are you able to, in any way, give insight into what level of impact do you think that was for your results? And a comment on the underlying business apart from that impact.
Dagmar Steinert: Well, in North America, we report 6% organic growth. So our business in North America is nicely growing as the first quarter in the previous year was not affected from the crisis. But yes, in America, there is an impact of the cold weather in the first quarter in Texas. And what we see for -- just for example, is, of course, if one or the other supplier had damaged pipes and, of course, it takes some time to get it all repaired. And due to that, there are like shortages in one or the other raw materials in America and disruptions or delays in the supply chain. But these difficulties regarding the supply chain, we are facing everywhere, not only in America, we face it in Europe, we face it in China. And it's a hard task to manage that. But so far, we are doing it quite well.
Operator: [Operator Instructions]. And the next question is from Sebastian Bray of Berenberg.
Sebastian Bray: I would have two, please, both strategic. The first is on electric vehicles. Could you please give a sense of the amount of sales that FUCHS is currently making to this value chain, either via its BluEV brand or via other? Is about €40 million on an annualized basis a reasonable guess?  The second question is on longer-term procurement of raw materials. If transport fuel demands in Europe and the U.S. goes into reverse longer term and refineries start to shut, can FUCHS start to source its base oils based upon bio-based feedstocks or recycled inputs? How does the group think about its raw material procurement on a 10- to 15-year basis?
Dagmar Steinert: Yes. Thank you, Sebastian, for your questions. So first one regarding our amount of sales with product for electric vehicles, I'm sorry I can't give you an answer and I can't give you a good or bad feeling if you get the right guess. Because we -- as our customers are not only like [indiscernible] the suppliers and therefore we have a lot of products which go into vehicles, but we don't know are these electric vehicles, are these vehicles with combustion engine or hybrids? Then of course, we have products which are for electric applications and so on, but we don't have a [indiscernible] number available so far with this group-wise.  Our view on longer-term procurement and the supply chain or disruptions of the supply chain. Our R&D team is, since years, working on finding new raw materials, new raw material sources. Sustainability is a strategic and important task for us. And we are -- yes, we aim to use more bio-based feedstock as we do today, as we already use some, but not in a very big amount. And we are open for like life cycles and recycling. And we are working strategically on that, and not only strategically but our R&D team in their daily work.
Sebastian Bray: That is understood. And Dagmar, I appreciate you cannot quantify the exact number of sales flowing from FUCHS into the electric vehicle chain. But if I were to say if FUCHS has the same or higher or lower market share for EV applications relative to traditional ones, which of those statements would you agree with?
Dagmar Steinert: Sebastian, I'm sorry, I can't give you an answer.
Sebastian Bray: Understood. It was worth a try.
Operator: The last question for today is from Isha Sharma of Stifel Europe.
Isha Sharma: Do you expect China to continue to be as strong? What kind of regional development do you see into April? I appreciate that you see still strong demand. Could you help us with the regional split as well, please?
Dagmar Steinert: Well, if you look at all expectations regarding the growth, the economic growth in China, it's very strong, strong GDP growth. I think it's the highest worldwide. And it's across all industries, it's strong in automotive but as well as in other industries. And as we finished our growth initiative, our investment program in the last year in 2020 and we have 2 very modern, new production plants in China, we -- as I said, we managed like 46% sales growth in China in the first quarter, a very strong growth in the fourth quarter. So our setup in China is very good. And we are prepared to grow even further with a strong demand for a longer time.
Isha Sharma: Actually, that would have been my second question. How much incremental volumes can we expect for the full year coming from your recent CapEx initiatives?
Dagmar Steinert: As we don't report volume figures as we can easily increase volumes if we increase [indiscernible] sizes, we are able to add additional shifts. But in China, we opened a new plant a year ago. We enlarged that plant already in the planning phase. There's enough space. There's enough room to even announce further if we would need that in our second production plant in the north of China. We enlarged it 2 years ago. And there are still as well enough space and room to even further expand. So capacity in China is not at all a restriction for us.
Isha Sharma: Perfect. That's very helpful. So it is fair to assume that this is a sustainable growth rate in China or, let's say, at least for the year, we can imagine...
Dagmar Steinert: Not 46%, I would say. But yes, I believe we will see a strong growth in China, yes.
Isha Sharma: That's very helpful.
Operator: As we received no further questions, I hand back to Mr. Ackermann.
Lutz Ackermann: Yes. Thank you very much. With that, we have come to the end of our today's conference call. Thank you very much for your participation. And as always, if you have any further questions after the call over the next days, please don't hesitate to contact us. Thank you, and goodbye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.